Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Steelcase Third Quarter Fiscal 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. O'Meara, you may begin your conference.
Mike O'Meara: Thank you, Rob. Good morning, everyone. Thank you for joining us for the recap of our third quarter fiscal 2025 financial results. Here with me today are Sara Armbruster, our President and Chief Executive Officer; and Dave Sylvester, our Senior Vice President and Chief Financial Officer. Our third quarter earnings release, which crossed the wires yesterday, is accessible on our website. This conference call is being webcast, and this webcast is a copyrighted production of Steelcase Inc. A replay of this webcast will be posted to ir.steelcase.com later today. Our discussion today may include references to non-GAAP financial measures and forward-looking statements. Reconciliations to the most comparable GAAP measures and details regarding the risks associated with the use of forward-looking statements are included in our earnings release, and we are incorporating by reference into this conference call the text of our Safe Harbor statement included in the release. Following our prepared remarks, we will respond to questions from investors and analysts. I'll now turn the call over to our President and Chief Executive Officer, Sara Armbruster.
Sara Armbruster: Thanks, Mike. Hi, everyone, and thanks for joining today's call. So today, I'll cover the highlights of our third quarter financial results and offer a few remarks explaining how we continue to make progress against our strategy. So to start, we're proud of our third quarter results and where we expect to finish the fiscal year. Despite our industry not growing as expected, our full year adjusted earnings per share are projected to finish above the top end of the targets we communicated at the beginning of the year. In Q3, we delivered 3% organic revenue growth and stronger-than-expected adjusted earnings of $0.30 per share. And for the 10th consecutive quarter, we drove year-over-year gross margin expansion as our teams delivered solid cost improvement results, and we captured the benefit of higher revenue. The stronger results were driven by our Americas segment, which delivered 7% organic revenue growth and an adjusted operating margin of 8.1%. The Americas also drove our fifth consecutive quarter of year-over-year order growth and based on the latest industry data, we've increased our market share again this year. Consistent with the expectations we outlined last quarter, we began to see improved order trends from our large corporate customers near the end of third quarter, and we've continued to see a strong trend into early December. We're also beginning to identify increased activity from our largest technology customers, who like customers in many other industries are increasingly expecting a higher level of in-office presence. And finally, it's notable that this month's Business Roundtable CEO confidence survey reached the highest level in over two years and indicates stronger investments in capital spending and hiring as we head into 2025. The strong quarter of growth and profitability in the Americas was partially offset by lower-than-expected results in our International segment. In the EMEA and APAC regions, we launched additional restructuring actions. I also want to note some of the positive signs from the quarter, such as year-over-year and sequential order growth in China and higher activity levels and a few significant wins across some of our largest customers in EMEA. So turning to our strategy, let me start with transformation. Work has changed more dramatically in the past five years than it has in generations, and we see ongoing trends that will continue to impact the workplace. So I'll briefly describe what we continue to observe. First, we anticipate continuing reliance on computer screens in the workplace. Screen-based interactions have overtaken in person communications, even among people who are in the office together. People are more likely to join meetings on a screen at their desk than to walk to a meeting room. And this behavior significantly changes how we use our offices and it highlights the opportunity to bring new collaborative and privacy solutions to our customers. Second, organizations and their employees are rapidly adopting artificial intelligence. We see a super cycle of economic growth coming from these new technologies, and that indicates it's time to design AI ready workplaces. As more people adopt AI tools, the flow of work will change, and that will require a redesign of the space that supports those work processes. In addition to those two trends, we're also seeing workplaces evolve to support teams that are tackling really complex issues like sustainability. So this shift demands new kinds of collaboration spaces and support. And we also see organizations increasingly using their space to respond to employee well-being concerns by giving people things like more autonomy and privacy. So in response to these trends, we're introducing customers to a way of thinking about the office called community based design. This design approach helps create dynamic and inspiring workplaces that respond to these diverse needs of employees, really by providing them with choice and control across multiple types of work. This inherent flexibility helps many companies prepare for the next generation of working. So let me move now to diversification. On a year-to-date basis, all of our customer segments in the Americas have posted year-over-year order growth, except for our consumer business. One area of focus for our diversification efforts is healthcare and I haven't talked about that in a few quarters. So I want to share today how we support health organizations with their unique needs. In the third quarter, our healthcare business delivered strong revenue growth compared to the prior year. We believe the healthcare industry is poised for continued growth, largely driven by an aging U.S. demographic that is requiring more healthcare services. And to serve these customers, we create evidence based solutions that support better experiences of care for patients and families and clinicians and communities. We recently completed a project for U.S. healthcare system that had received funding to replace older furniture on a very tight deadline. In working with our local dealership, we leveraged our operational capabilities and scale to deliver more than 7,500 pieces of furniture in a very short period of time within that customer's patient and clinical spaces. And we see many healthcare institutions with similar needs to modernize their infrastructure and reimagine the patient experience. And that's really where we best support our healthcare customers. So let me turn now to the profitability pillar of our strategy, and I want to build on my opening remarks. As we've discussed for the past year, we've been executing our business transformation initiative to simplify our processes and enhance our capabilities to strengthen our competitive advantage. We are in the midst of developing and implementing a new ERP system and processes in the Americas, and we are now targeting to go live in the second quarter of fiscal 2026, which allows us time for additional development and testing. Now finally, as we think about our efforts to use (ph) our business as a force for good and design better futures for people and the planet, I'd like to update you on one area where we are making significant impact for our customers and the well-being of our planet, which is designing for circularity. The number of global companies who have set significant science based carbon reduction targets has gone up more than 100% in the last year, and it's now at 40% of the global market cap. These customers, many of which are our largest global clients are seeking solutions that help them meet their own carbon reduction goals. So having different options to reuse or repair or remake and recycle through Circular by Steelcase allows us to grow and maintain those customer relationships. For example, one update in this space is our new Circular by Steelcase, remade services, which are launching in the U.S. and expanding in Europe. These end-of-use services empower our customers to meet their sustainability goals, reduce our own carbon footprint and keep furniture out of landfills. Our ability to evolve our business in this way is proof of our commitment to our customers and the planet. So congratulations to all of the employees who've helped Steelcase make meaningful progress toward our people and planet goals and more broadly across our entire strategy. So to close my remarks, I'd say that we're proud of our results this quarter and that we expect our fiscal 2025 adjusted earnings per share to finish above our targeted range. We remain positive about the progress we continue to make against our strategy, and I'll now turn it over to Dave to review the financial results and our outlook in more detail.
David Sylvester: Thank you, Sara, and good morning, everyone. My comments today will start with the highlights related to our third quarter results, balance sheet and cash flow. I will then share a few remarks about our outlook for the fourth quarter and the full fiscal year, as well as some initial thoughts to support your modeling of fiscal 2026. Our third quarter adjusted earnings of $0.30 per share were above the top end of the estimated range we provided in September and our revenue of $795 million was near the midpoint of our range. The Americas drove the earnings favorability on higher revenue, stronger gross margins and lower operating expenses. Our International segment finished below our expectations primarily due to lower revenue as we had soft orders in some markets and some customer-driven project shipment delays. Compared to the prior year, we posted organic revenue growth of 3%, including 7% growth in the Americas, partially offset by an 8% decline in International. The Americas third quarter revenue growth benefited from favorable shipment timing in our beginning backlog, which will have an impact on our fourth quarter comparisons. Our prior year adjusted operating income included benefits from a decrease in the valuation of an acquisition earn-out liability and gains from the sale of fixed assets. Setting those items aside, our improvement in the Americas was due to the strong volume growth, higher pricing benefits and cost reduction initiatives, while the International decline was largely due to lower volume and higher competitive discounting. Due to the continued soft demand in our International segment, we implemented additional restructuring actions and other cost reduction measures during the quarter, which together are projected to drive approximately $5 million of annualized cost savings by early fiscal 2026. As it relates to cash flow and the balance sheet, cash and short-term investments increased $70 million from Q2, driven primarily by $71 million of adjusted EBITDA. Our trailing four quarter adjusted EBITDA of $284 million improved by 9% over the prior year. And as a percentage of revenue, our trailing four quarter EBITDA margin improved to 9.0% compared to 8.1% in the prior year. Our total liquidity, which includes the cash surrender value of COLI aggregated to $577 million at the end of the quarter, which exceeded our total debt of $447 million. We repurchased approximately 400,000 shares in the third quarter or approximately 2.1 million shares on a year-to-date basis. When aggregated with our quarterly dividend of $0.10 per share, we've returned over $60 million to shareholders in the first nine months of fiscal 2025. As Sara mentioned, we are now targeting our ERP go-live for the second quarter to provide more time for system development and testing. As a reminder, we were projecting $75 million to $85 million in capital expenditures for fiscal 2025, which included approximately $35 million of investments related to the ERP implementation. With the additional development and related shift of our targeted go-live, we anticipate capitalizing additional expenses in the fourth quarter, increasing our total capital expenditures projection to approximately $100 million for fiscal 2025. This full year estimate includes approximately $15 million of capitalized internal labor costs. As we move into fiscal 2026 and finish the build and development phase, much of the expected project costs related to the testing, go-live and stabilization phases are expected to be expensed as incurred. As a result, the fiscal year-over-year annual impact to operating costs is expected to be more than $20 million, including the expected initial amortization of the capitalized development costs. We also expect to begin capturing some of the value of our streamlined business processes and enhanced capability of the new ERP system after we go-live in fiscal 2026. Orders in the quarter were down modestly compared to the prior year and included 2% growth in the Americas and an 8% decline in International. In the Americas, Q3 marks the fifth consecutive quarter of year-over-year order growth and the 2% growth rate in the current quarter compares to 16% growth in Q3 of the prior year. The order growth was driven by government customers. And as Sara mentioned, our order trends from large corporate customers improved in November and have continued to be strong into December. Our project business grew in Q3, while our continuing business or day-to-day orders declined. We continue to believe the growth in our project business is reflective of how we are leading the transformation of the workplace as evidenced by our strong win rates and estimated market share gains over the last year in the Americas. For International, the 8% order decline was driven by declines in most of our major markets in Asia-Pacific and France. However, we did see order growth in Germany and some smaller markets in EMEA and we are encouraged by higher project activity levels from some of our global customers in our international markets, as well as some recent wins related to large opportunities with national accounts in France, Germany and the Middle East. And for the first-time in many quarters, we posted year-over-year order growth in China and total Asia-Pacific orders grew nearly 20% on a sequential basis as compared to the second quarter. Turning to our outlook for the fourth quarter. Our overall backlog at the end of the third quarter was down 5% compared to the prior year. And while orders during the first three weeks of December were strong, growing 15% over the same period in the prior year, they included a number of large projects scheduled to ship beyond the end of the quarter. Accordingly, we expect to report revenue within a range of $770 million -- sorry, excuse me, $770 million to $795 million, which after taking into consideration an additional week of shipments in the current quarter represents an organic decline of between 4% to 7%. Before moving to our earnings expectations, I want to share a few comments regarding an issue we're navigating in our supply chain. The issue is related to a laminate supplier that was significantly impacted by Hurricane Helene and we believe the disruption is being felt across our industry. Efforts are being taken to mitigate the impacts to our customers. However, it could take several months before the disruption is fully resolved and it's possible that the outcome of these efforts could be different than the assumptions we utilized in determining the range of revenue projected for the fourth quarter. As it relates to earnings, we expect to report adjusted earnings of between $0.20 to $0.24 per share, which compares to $0.23 in the prior year. In addition to the projected range of revenue, the adjusted earnings estimate includes gross margin of approximately 33.5% and operating expenses of between $230 million to $235 million, which includes $4.3 million of amortization related to purchased intangible assets. Lastly, we expect interest expense and other nonoperating items to net to approximately $1 million of expense, and we're projecting an effective tax rate of approximately 27%. Based on our year-to-date results and our fourth quarter projections, we believe our fiscal 2025 adjusted earnings per share will finish above our targeted range for the year. And as Sara said, we're proud of the results our teams are driving and the progress we're making on our most important initiatives. As we begin to think about fiscal 2026, we believe the current macroeconomic environment and what we're hearing from our large customers in the Americas are supportive of us targeting organic revenue growth and improved adjusted earnings for next year. During the current year, demand from the financial services sector improved significantly, and we believe there was a correlation with the stance many of those companies took about increased employee presence in their offices. We are seeing a similar shift in expectations regarding the number of days in office across several large customers in the technology sector, where presales activity and demand expectations are also beginning to improve. We also expect growth from small to midsized education and health care customers, and we are encouraged by the positive signs in our international markets that I mentioned earlier. The key to potentially driving meaningful organic revenue growth in fiscal 2026 is related to our large corporate customers. And it seems the level of demand from that customer segment may be at or near an inflection point. Regarding adjusted earnings in fiscal 2026, we are targeting additional benefits from our gross margin improvement initiatives and we expect to begin capturing some value from our business transformation initiative and new ERP system. However, as I stated, we expect to capitalize less of the related implementation costs in fiscal 2026 compared to fiscal 2025, and it's prudent to imagine some level of inefficiency during the cutover to the new system. Plus, we intend to further invest in our revenue diversification strategies. Thus, we expect gross margin expansion in fiscal 2026 to be mostly driven by the benefits of projected volume growth, and our operating expense leverage could be relatively flat year-over-year. For purposes of updating your models now, we believe a low to mid-single digit organic revenue growth rate for fiscal 2026 is a reasonable target at this point, but likely with a low contribution margin. After we complete our fiscal 2026 detailed planning process in Q4, we will provide a more detailed outlook in March. From there, we'll turn it back to the operator for questions.
Operator: [Operator Instructions] And your first question today comes from the line of Reuben Garner from Benchmark. Your line is open.
Reuben Garner: Thank you. Good morning, everybody.
Sara Armbruster: Good morning.
Reuben Garner: Dave, maybe just to start where we ended on ERP. Just to be clear, the $20 million, how much of that is kind of -- does that include those inefficiencies that you talked about or that's just purely start-up costs and capital amortization being expensed? And then how much of that is one-time and may kind of go away when we get to modeling out for '27?
David Sylvester: So it's purely related to the implementation cost, the inefficiency associated with go-live is separate, and we can talk about that. But the $20 million reference that I made is related to us capitalizing outside consulting and internal labor this year and expensing – likely, expensing most of it next year, and that year-over-year swing is $20 million. On the elements that are one-time, I don't have that off the top of my head. I think maybe Mike could follow up with you. My estimate, I guess, off the cuff would be probably in the neighborhood of $10 million. But let's much follow up with Mike to confirm whether that number is a reasonable estimate.
Reuben Garner: Okay. That's helpful. And then, as far as the items that you mentioned to offset whether it's the efficient -- the benefits that you get from the ERP or your gross margin initiatives, is your stance today that you will have some, but it won't fully offset that $20 million. And so, just want to be clear, you're not suggesting that you're going to get more than $20 million in those things? Okay.
David Sylvester: No. I think we'll get started towards the back end of the year on the benefits of the new ERP, but we should talk a minute about the inefficiencies that we imagine. We will have to ramp down production in advance of the go-live and then gradually ramp it up after the go-live. We don't expect any impact to customers because we'll be able to build ahead and catch up, we believe. But the impact due to the labor in our facilities that will be working on other things other than production will drive some, I'd say, meaningful inefficiencies, which is why we're projecting at this point that the gross margin improvement will next year will most likely be attributable to the volume growth versus additional gross margin improvement initiatives that we'll also be targeting.
Reuben Garner: Okay. Got it. And the three week order trend, I think it was that you highlighted in your press release. I guess, can you talk about how -- maybe, one, what was the year ago comparison on that? Was there anything funny going on a year ago or was that growth on top of growth? And then secondarily, do you feel like that was some potentially some catch-up after that lull kind of heading into the election, or does it feel like maybe some of the funnel and pipeline that you have is just kind of reaching that point of, kind of, translating to orders that we've how -- do we think about the 15% number?
David Sylvester: Well, I think we feel pretty good about it. I think last year, in the first three weeks, we referenced a 7% growth rate in the first three weeks, so 15 is on top of the seven. So we feel pretty good about that. You referenced the potential lull due to the elections. I don't know for certain, but I would guess that our large corporate customers weren't -- they weren't necessarily waiting to see the outcome of the election. I think just the timing of their orders was playing out differently than our internal CRM or sales tools we're suggesting. So we mentioned on the last call and maybe even the call before that, that we felt pretty good about the activity levels that we were seeing across our large customer base and felt like those orders were coming. The projects were active. We had won them. We just weren't seeing them develop into orders. And I think, we're starting to see some of that in the first three weeks of December.
Reuben Garner: Okay. I'm going to sneak one more in there, if you don't mind. The low to mid-single digit kind of framework for next year, you mentioned restructuring in International. What kind of internally, does that look like today that breakout between kind of Americas expectations versus International and other businesses you have?
David Sylvester: We'll be targeting profitability in the International segment, driven by some level of volume growth, which we haven't entirely ironed out, but some level of volume growth and the benefits of all the cost reduction activities that we've launched and implemented over the last almost 18 months. In fact, if you get a second, when we release our Qs later today, there's a restructuring footnote that provides some color about each one of the restructuring activities that we've been taking, many of which have been related to the International segment.
Reuben Garner: Got it. Thank you, guys. Congrats on the strong quarter and happy holidays to all of you.
David Sylvester: Thanks, Reuben. You too.
Sara Armbruster: Thank you.
Operator: Your next question comes from the line of Steven Ramsey from Thompson Research Group. Your line is open.
Steven Ramsey: Hi. Good morning. I wanted to start with the continuing business trends. You cited that they declined in the quarter. Could you maybe clarify the order of magnitude of that decline and then maybe how you see continuing business shaping up into FY '26?
David Sylvester: It's a good question, Steven. I mean, the decline is up against a strong growth in the prior year. You might remember the first thing that started to show improvement was our continuing our day-to-day business. We had a theory over a year ago, maybe a couple of years ago that once we started seeing more people getting back into the office, that day-to-day business would restart. And as we saw that, particularly, in the financial services sector, we saw our day-to-day business pick up pretty strongly. So we had nice growth throughout much of last year from continuing. And then late in the year, project growth started to kick in. So it's up against the -- I think a double-digit growth rate in the prior year. Mike could validate that on a follow-up call that I'm pretty sure it's double-digit. And I suspect that it's going to show some improvement as we see potentially the tech sector get back in the office more significantly in other vertical markets to also increase their in-office presence.
Steven Ramsey: Okay. That's helpful. And then maybe an add-on to that comment you just made. Are you seeing the continuing business in the tech sector already starting to inflect upwards or maybe describe the trend in that sector so that we can get a feel for how it is comping relative to the financial services trend line?
David Sylvester: I haven't seen it yet, Steven, but I also have to tell you, I haven't double clicked by vertical market on the continuing business to really look at it closely. But I don't remember anyone noting that it was growing in a significant way while everything else was declining.
Steven Ramsey: Okay. Understood. On the International side, you saw competitor discounting pressures. Can you put that into context for the past six months to 12 months, is it worsened? And if it was happening in particular geographies or if it was a broader impact? And then maybe lastly, do you expect that to persist into calendar '25?
David Sylvester: Well, I would say, it feels relatively broad-based. I don't know that I would use the phrase worsen. I would just say that the volume levels in the Western European market have been challenged for the last couple of years and it's quite competitive as a result. We are also intentionally focusing on a few different things to expand our volume levels in certain vertical markets and in certain geographies. I wouldn't say we've used discount dollars only to go after that business, but to sometimes disrupt and engaged customer with a competitor, you have to show you're serious about wanting that business. So that's my way of saying it's more strategic discounting, but there is some element of it is quite competitive in Europe.
Steven Ramsey: Okay. That's helpful. And then last one, for me would be around Americas share gains you've cited your success in that effort in the last year or so. As you look out into the next year, do you see the share gains coming from the same places or do you see any kind of shift in where you are winning incremental business?
David Sylvester: I think we're going to continue to target the share gains as we have stayed invested and how the workplace, we believe is going to transform. And we did not reduce our sales force to the extent that some of our competitors did during the worst of the pandemic. And so we've kept our relationships strong with large global accounts. So we're hopeful that, that will continue to produce market share gains like it has this year and much of last year.
Steven Ramsey: Okay. That’s excellent. Thank you, everyone.
David Sylvester: Thanks, Steve.
Sara Armbruster: Thanks.
Operator: Your next question comes from the line of Greg Burns from Sidoti. Your line is open.
Gregory Burns: Good morning. Can you just maybe give us a little bit of color on your exposure to potential tariffs next year, where that it might impact your business and how much of that is reflected in your guidance for fiscal '26?
David Sylvester: Well, this was a good call, Greg, before you brought that up. So we knew it would come up. It comes up in virtually every one-on-one. So we don't really have anything built into our guide. Of course, tariffs that are currently in place in some markets are built into the guide. But I think you're referring to the incremental tariffs that have been talked about as potentially being put in place by the new administration. So we've looked at this quite carefully, and we have -- are evaluating contingency plans, and we're taking some actions where we can, which includes buying additional inventory in advance of the potential tariffs being put into place. So we're in the process of doing some of that. I would tell you that our business really kind of -- or the tariff exposure really kind of falls into three buckets. One bucket is a bucket of supply chain where we think much of the industry is leveraging the same suppliers internationally. And if those tariffs are enacted, it's likely or its imaginable that those tariffs will be passed on to customers because it will affect the broader industry. There's another bucket that we're a little bit more uniquely positioned and I'm referring to maybe the China and Taiwan and other international markets. And that bucket, we've been continuing to look at ways to reduce our exposure by bringing some things in-house and developing contingency plans, that's also an area where we are looking at building inventory a little bit in advance of the tariffs, which will provide us more time to evaluate what additional actions we might want to take. And then the third action, which is the largest is related to Mexico. We operate a couple of maquiladoras, as you know, that produce a relatively significant amount of product for us here in the U.S. And if those are impacted, they will be one of, I guess, a few thousand companies that are operating as maquiladoras. And we just -- we're developing contingency plans, but we're not necessarily taking action because we're not convinced those are actually going to play out, because I think a lot of financial experts predict that if you tariff these thousands of maquiladoras, you're going to create significant inflation across the U.S., and that seems to be something the administration wants to avoid at the same time. So I'm not saying we -- they're not going to do anything related to Mexico, but if they were, we will have to evaluate and take action accordingly. But we are in a bit of a unique position there because not the -- not all of the industry is leveraging maquiladora -- some of us are, but not everyone.
Gregory Burns: Okay. Thanks for that. And then I think, Sara, in your prepared remarks, you kind of mentioned kind of slower business development this year from where you may be thought coming into the year or where it would be coming into the year. Is that related to International or is that also applied to the Americas segment? And maybe why do you think it's been a little bit slower -- the development, I guess, of the recovery has been slower than thought?
Sara Armbruster: Yeah. I think my comment was really around the industry projections for growth. So looking at things like BIFMA data and industry data coming into the year, those indicators were suggesting, I would say, a modest industry growth. And as the year has played out in the Americas, the industry projections or the industry actual data has shown kind of flat and slightly negative as a whole across the entire market. So my comment was really relative to our interpretation of that industry data in terms of how we were expecting our growth to compare and we've seen that just be a little bit slower. Now as Dave mentioned, we've seen a lot of nice momentum. Of late, we continue to take share. So I think we see a lot of things that give us a positive sense for the future and where momentum may go. And I think really, the broader industry data just goes back to what are we seeing and what are we all expecting with respect to the extent to which organizations have employees return to the office, to what extent -- as they do that, they're making decisions to invest in their spaces and you generate demand. So really, it's how we are thinking about our prospects relative to the industry projections and coming into the year, the industry projections were a bit more optimistic than in hindsight, we see things play out.
Gregory Burns: Okay. And then just lastly, when we look at the guide for the revenue guide for the fourth quarter and the third quarter results, we take them as a whole, like, I know there was some favorability in the third quarter in terms of timing of order shipments, so maybe that pulled forward some revenue. But when you look at the second half, is it coming in, in line with the expectations as a whole or is it still below expectations and you expect maybe heading into the year to build momentum as we head into ‘26? Like, how do we view the second half results and versus maybe what you guided to for 2026?
David Sylvester: Well, it depends on what set of expectations you're talking about. If we go back to the beginning of the year, they're certainly below those level of expectations where we imagined organic growth between 1% to 5% for the full fiscal year with it building with demand levels building as we went through the year. If you look -- if you compare it to more recent expectations, I would say it's more in line to slightly lower because of the timing of these large project orders coming in a little bit later than we were initially anticipating maybe three to four months ago, five months ago. So it's a little bit softer. But what I feel really good about is that we're coming in on top of or ahead of the range of adjusted earnings we projected for the year, and demand feels like it's building going into next year.
Gregory Burns: Okay. Great. Thank you.
David Sylvester: Yeah.
Operator: Your next question comes from the line of Joe Gomes from Noble Capital Markets. Your line is open.
Joseph Gomes: Good morning. Thanks for taking my questions.
Sara Armbruster: Good morning.
David Sylvester: Hi, Joe.
Joseph Gomes: I just wanted to start out on the International side. You talked about some green shoots, so to speak. And just kind of wondering what gives you the confidence or what kind of needs to happen there to get a more sustainable upswing on the revenue and orders on the International side? Is it just improving economies? Are there some other trends like here in the Americas, we talk a lot about the return to office, although, I don't think they have to that same extent in Europe of work from home as we did here in the U.S. So just trying to get a better handle on what you see needs to happen to really start to drive the top line in the International segment?
David Sylvester: Certainly, macro is part of it and maybe the bigger part because I agree with your comments about return to office with maybe a few exceptions and they're pretty important exceptions. Like, I don't believe some of the larger markets in Western Europe are quite back as much as some of the smaller or midsized markets have been. So I still think there's room for potential improvement or demand levels associated with return to office, particularly, in Western Europe in some of the largest markets. And then internationally, what we're seeing is, as these large companies are getting back to the office in the U.S. and/or internationally, some of the demand level from our largest global accounts is picking up, and it's showing up not only in the U.S. but in some of the international markets. And what we are also doing is we're behaving a little bit differently internationally. We're targeting different accounts than we had targeted -- targeting them with a higher level of intention than we had targeted in the past because some of our key core customers had not been in the office and buying at the same levels. So what we're feeling, I think is some green shoots from our actions. I think we're also feeling some green shoots from the largest global accounts that we serve around the world. And we're also seeing potentially some bottoming and turning off the bottom in a couple of markets that have really struggled in particular China. I don't want to declare today that we're at the bottom and it's turning, but there are definitely signs that the worst could potentially be over. And we've been impacted dramatically in China. And there's still a lot of business opportunity for us to compete for and our sales team are showing that we can win that, those opportunities even though they're different than some of the accounts that we had targeted prior to the pandemic.
Joseph Gomes: Okay. Thanks. That's very helpful. And then with the new administration and some of their efforts, especially, on the DOGE, (ph) how do you see that impacting your business?
David Sylvester: Well, first and foremost, I will fully support their application to get people back in the office. I think my latest estimates, I think I've read the articles that suggested low-single digit percentage occupancy by some of the federal government agencies that we serve. And we feel some of that in our numbers. So I think by them getting back into the office and understanding that the environment needs to transform, we'll see activity levels begin to pick up. There could also be an impact of workforce reduction if they actually implement some of the things that they're suggesting they're going to target. So there could be some of negative consequence of that. But if the activity level from a lot of the government is very, very low. And as occupancy improves, it feels like that could improve.
Joseph Gomes: Okay. And one last one for me. You talked about the laminate supplier issue. It sounded like that's potentially impact the fourth quarter here. Do you see that potentially going out into fiscal '26 or more if it was to have the impact, it would be just kind of contained to the fourth quarter?
David Sylvester: It's a good question. We're not running that company and while we've been in it and offered our assistance and I'll state, I believe, they're back up and running in a different location. They've got a lot of pent-up demand that needs to be caught up. And I just am not sure that we'll be through it entirely by the end of the fourth quarter, which is why we chose to and include a couple of remarks in my script today.
Joseph Gomes: Okay. Great. Thank you very much for taking the questions.
David Sylvester: Thanks, Joe.
Operator: There are no further questions at this time. Ms. Armbruster, I turn the call back over to you.
Sara Armbruster: Thanks. So I just want to thank you all for joining today. As always, we appreciate your interest in Steelcase, and we wish your families and you a safe and happy holiday season.
Operator: This concludes today's conference call. You may now disconnect.